Operator: Welcome to the Korn/Ferry Third Quarter Fiscal Year 2015 Conference Call. [Operator Instructions]. We have also made available on the investor relations section of our website at www.kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to investors. Certain statements made in the call today, such as those relating to future performance, plans and goals, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties which are beyond the company's control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and the company's annual report for fiscal 2014 and the other periodic reports filed by the company with the SEC. Also, some of the comments today may reference non-GAAP financial measures, such as constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measure, is contained in the financial presentation and release relating to this call. Both of which are posted on the company's website at www.Kornferry.com. With that, I'll turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison.
Gary Burnison: Okay. Thanks, Nick and good afternoon, everybody. Thanks for joining us. We had another solid quarter as an organization. Revenue was up about 7% at constant currency. We did have like most global companies, we had a negative impact from FX and it was about $9 million negative for the quarter. So, we came in at $250 million. If it wouldn't have been without that FX, it would have been $259 million in constant currency but a really good quarter. Up 7% constant currency and profitability was also strong. EPS was about -- it was up about the same thing, about 7%. We saw steady growth across, really, all lines of business. Last call, we talked about, I was worried about energy. We really did not see any kind of decrease in our energy business through the third quarter. Futurestep just continues to lead the way. They knocked the cover off the ball. 21% up, constant currency. Search was up 3.5% with all regions being up. Leadership business had a good quarter. That was up 6% constant currency with a really strong EBITDA margin. The LTC EBITDA margin was a little over 18%. We closed an acquisition last week of, I think, a really special development company called Pivot Leadership and what they do is they provide really high-touch, customized, immersion-type development programs for CEOs around the world. World-class people, world-class intellectual property and really, add to our capabilities to transform companies by working with leadership teams to really accelerate their strategy through people. I think as that acquisition and certainly what we've been doing over the last few years as it shows, is that we're committed to creating the preeminent authority on leadership and talent. And so, going forward, we're going to continue to deploy capital, to invest in IP, as well as top talent and solutions and we're really going to focus over the next coming quarters on really five areas. Number one, continuing to relentlessly drive a proactive, go-to-market strategy. We deal with 5,000 clients a year. We have an enormous opportunity to broaden the conversation, deepen the relationships. Two, we have got to create a more global, solutions-oriented organization. Three, we're going to continue to innovate and principally through leveraging and commercializing our IP. We've got this Korn/Ferry Institute. We're going to continue to make investments in that Institute around talent analytics and learning and enterprise agility. Number four, we have to develop our people to broaden the conversation and to make this a career, lifetime destination for our colleagues. And then, finally, we're going to have a balanced approach to M&A and capital. So, that's kind of an overview. I think, again, very, very, very solid quarter, given that it covers the Christmas time and holiday time. And, with that, I will turn it over to Bob. Bob?
Bob Rozek: Great. Thanks, Gary and good afternoon, everyone. Despite the seasonal impact of fewer working days and the effect of the foreign currency that Gary talked about, our reported fee revenue -- we continued to post strong financial results in the third quarter. We remain focused on the execution of our strategy which includes the disciplined deployment of capital according to the parameters that we talked about on our last call. As Gary mentioned on March 1 we closed on the Pivot Leadership acquisition which is really an investment that will strengthen our leading market position in L&TC. Pivot's customer base, their intellectual property and strong business development team are an excellent complement to our leadership and talent consulting business. In the third quarter, at actual exchange rates we achieved consolidated fee revenue of $249.5 million, that's up 3% year-over-year and, down 2.4% sequentially. However, at constant currency, our fee revenue in the third quarter actually grew $16.4 million or almost 7% year-over-year and was flat compared to the second quarter. All three of our major service lines grew year-over-year in the third quarter when measured at constant currency. Overall, just to give you a sense of our new business trends, they remained positive in the third quarter. In Executive Search, new orders were flat when compared to the third quarter of FY ‘14 and down about 6% sequentially, but that was primarily due to the year-end holiday seasonality. As projected, both November and December were seasonally slower with January and February new business rebounding to pre-holiday levels. And, even in the case of February, a little bit better than that. And, this is really particularly true for North American Executive Search where we saw very soft November and December in terms of new business, but that was followed by a strong rebound in January and February where our monthly new orders were up over 20% when you compare that to November and December combined. In L&TC, new business awards, in the third quarter grew modestly year-over-year and were flat compared to the second quarter of FY '15. And, Futurestep, as Gary indicated, had another solid quarter especially with respect to new business, but they're total award up nearly 19% year-over-year. Earnings and profit margin trends were strong. We improved in the third quarter with all three of our service lines posting higher EBITDA and EBITDA margins compared both to the third quarter of last year as well as the second quarter of FY '15. Excluding the offsetting net impact of acquisition costs and restructuring charge recoveries, our adjusted EBITDA improved $3.8 million or almost 11% year-over-year reaching $39 million in the quarter. When compared to the second quarter of FY '15, adjusted EBITDA in the third quarter was down about $4.9 million. That's primarily the result of if you recall in our last call, we talked about the positive net impact of non-recurring items in the second-quarter results as well as the fact that we had sequentially lower fee revenue. EBITDA margin was very strong in the quarter at 15.7%, compared to 14.5% last year and 17.2% in the second quarter. On a GAAP basis, our operating earnings in the third quarter were up $5.6 million or 20% -- almost 21% with 190-basis-point improvement in margin year-over-year. And, sequentially, the GAAP operating earnings were down $1.5 million or 4.4%. We continue with having strong financial position and it improved in the third quarter with total cash and marketable securities of $453 million. That's up $76 million compared to the third quarter of last year and up $53 million compared to the second quarter, excluding cash and marketable securities that are reserved for our deferred comp arrangements and our accrued bonuses. That's a concept we refer to as investable cash. That balance is approximately $205 million which is up $44 million year-over-year and up $25 million on a quarter-sequential basis. Approximately 41% or $84 million of the investable cash, resides in the U.S. And, then, after you consider our working capital needs, our worldwide, net investable cash is now approximately $130 million with about 40% or roughly $50 million of that residing in the U.S. And, as you'll recall, we previously announced a dividend and we will initiate that dividend of $0.10 per share payable on April 9 to shareholders of record of March 25. And then, finally, our fully diluted earnings per share were $0.46 in the third quarter. That was up $0.03 or 7% compared to the third quarter of FY '14. And then, sequentially, the earnings per share were down $0.05 and that's really as the result of lower fee revenues and then again, the positive effect of those items that we had in the second quarter. With that, I'm going to turn it over to Gregg who is going to review the operating segments in more detail.
Gregg Kvochak: Okay. Thanks, Bob. Starting with our executive recruitment segment, globally, revenue growth on our Executive Recruitment segment in the third quarter was negatively affected by both year-end holiday seasonality and foreign exchange translation rate. On a consolidated basis, at actual exchange rate, fee revenue in Executive Recruitment in the third quarter was $143.5 million, down $560,000 or 40 basis points year-over-year and down $5.4 million or 3.7% sequentially. However, eliminating the effects on fee revenue growth of the change in foreign currency translation rates, consolidated Executive Recruitment fee revenue was up $5.1 million or 3.5% compared to the third quarter of FY '14 and down only $1.6 million or 1.1% compared to the second quarter of FY '15. On a regional basis, also at constant currency, North America was up 1.8%. Europe was up 2.6%. Asia-Pacific was up 7.9% and South America was up 14.7% when compared to the third quarter of FY '14. On a quarter-sequential basis, also at constant currency, North America was down approximately 5.2%, due primarily to the seasonally slower November and December previously discussed while Europe was up 6%. Asia-Pacific was up 2.6% and South America was essentially flat. Compared to the third quarter of FY '14, at actual exchange rates, growth in our major specialty practices was mixed with the industrial practice up 25%, the life sciences and healthcare practice up 3%. The financial services practice was flat, while the consumer goods and technology practices were up 6% and 29%, respectively. Quarter sequential growth was also mixed with financial services up 6%, life science and healthcare down 1%, industrial down 3%, technology down 5% and consumer goods down 14%. Financial services accounted for 19% of all Executive Recruitment fee revenue in the third quarter which was flat year-over-year and up 180 basis points on a sequential basis. The total number of dedicated, executive recruiting consultants worldwide in the third quarter was 444, up 15 year-over-year and up 4 sequentially. Annualized fee revenue production per consultant in the third quarter was $1.3 million and was also negatively impacted by currency. The number of new search assignments opened worldwide in the third quarter was 1,318 which was up 6.9% measured year-over-year and up 60 basis points sequentially. Consolidated Executive Search EBITDA in the third quarter was $35 million with a 24.4% margin compared to $33.5 million with a 23.3% margin in the third quarter of FY '14. When compared to the second quarter of FY '15, EBITDA and EBITDA margin in the third quarter were up $2.9 million or 9.3%, with a 320-basis-point improvement in margin. Turning now to our Leadership & Talent Consulting segment which generated $64.3 million of global fee revenue in the third quarter. On a constant currency basis, L&TC's fee revenue in the third quarter grew $3.6 million or 5.8% year-over-year, with growth in the North America, Europe and Asia Pacific regions. Compared to the second quarter of FY '15, also on a constant currency basis, L&TC's fee revenue was down $1 million or 1.6%, due primarily to fewer workdays in the third quarter resulting from the year-end holiday season. Regionally, North America accounted for 69% of total L&TC worldwide fee revenue in the third quarter. At the end of the third quarter, there were 140 dedicated L&TC consultants which was up 15 compared to the third quarter of FY '14 and up 9 compared to the second quarter of FY '15. Professional staff utilization in the third quarter was 65%, compared to 61% in the third quarter of FY '14 and 71% in the second quarter of FY '15. In the third quarter, L&TC's profitability continued to improve. EBITDA in the third quarter was up $2.7 million or 26% year-over-year, to $11.7 million with a 380-basis-point improvement in margin and up $870,000 or 8% sequentially. This improvement was primarily driven by a greater mix in the quarter of higher-margin product revenue as well as cost efficiencies driven by the use of lower -- a lower proportion of higher cost, contract labor on consulting assignments. Finally turning to our fastest-growing segment, Futurestep which grew for the ninth consecutive quarter and generated $41.7 million of fee revenue in the third quarter. On a constant currency basis, Futurestep's fee revenue in the third quarter was up $7.8 million or 21.4% year-over-year and up $2.7 million or 6.9% sequentially. On a regional basis, measured year-over-year at constant currency, North America was up 29. Europe was up 25%. South America was up 41% and Asia-Pacific was up 4%. Sequentially, on the same basis, all regions grew in the third quarter led by North America and Europe which were up 8.8% and 6.9%, respectively. Futurestep's profitability continued to improve with revenue growth. Futurestep generated $5.9 million of EBITDA with a 14.3% margin in the third quarter which was up $1.6 million or 36%, with a 210-basis-point margin improvement measured year-over-year and up $326,000 or nearly 5% with a 30-basis-point improvement in margin sequentially. Now, I'll turn the call back over to Bob to discuss our Outlook for the fourth quarter of FY '15.
Bob Rozek: Great. Thanks, Gregg. Historically, both the fiscal second and third quarters have been seasonally weaker quarters for us primarily due to the holidays and vacations where both new order releases and delivery of work tends to slow. And, with both of these quarters behind us, our consultants have more work days in the fourth quarter to drive both new business as well as execute on the confirmed assignments. Globally, new business returns to pre-holiday levels in January and February. And, again, February new business was actually incrementally stronger than January's. March has historically been one of the strongest month for us in terms of new business. Having said that, on the negative side, the current strong U.S. dollar will impact our FY '15 fourth quarter growth both year-over-year as well as sequentially. As previously discussed, the foreign currencies weakened throughout the third quarter which negatively impacted our third quarter year-over-year fee revenue growth by about $9 million, as Gary had indicated. Our fourth quarter guidance was prepared using translation rates that were the average for the month of February. And that reflects the continued strengthening of the U.S. dollar and therefore in the fourth quarter, we're projecting fee revenue growth to be negatively impacted by the amounts experienced in the third quarter in addition to further downward pressure of some $4 million to $5 million. An additional consideration that we had to bake into our guidance for the fourth quarter was the acquisition of Pivot which as I said, closed on March 1. We expect that to contribute approximately $2 million of fee revenue in the fourth quarter with roughly breakeven earnings results. Over on a run-rate basis, Pivot is expected to contribute approximately $23 million of annual fee revenue with an adjusted EBITDA margin of 14% to 15%. And then finally, assuming worldwide economic conditions, financial markets remain where they currently are and again, it's considering the effect of the foreign exchange rate that's discussed above. Fee revenue in the fourth quarter of FY '15 is likely to range from $255 million to $265 million and we expect diluted earnings per share in the range of $0.44 to $0.50. That concludes our prepared remarks. We would be glad to answer any questions you may have.
Operator: [Operator Instructions]. Our first question comes from the line of George Tong with Piper Jaffray. Please go ahead.
George Tong: Could you provide some additional context around why weighted average fee billed per engagement stepped down modestly in Executive Search this quarter?
Gary Burnison: I think a lot of it was due to the currency impact from the overseas revenues, George that we experienced in the quarter. And on any given quarter you get a little bit of a mix in terms of you're doing more CEO or higher level searches versus other senior management positions. The other thing I would say is that in this quarter we typically have a handful of relatively large search engagements that we didn't see those in this particular quarter.
Gregg Kvochak: Yes and also, George, obviously you noted that we’re up four consultants on a sequential basis. So that there is some ramp up time associated with those.
George Tong: All right. And then looking more specifically at North America, Executive Search, are you seeing anything that might account for some of deceleration in growth on a year-over-year basis, so stripping out seasonality and number of work days on a constant currency basis compared to earlier quarters of the fiscal year?
Gary Burnison: No. We haven't seen anything that would suggest that. You've got the Christmas holidays in there for sure, but there is nothing fundamentally in last month employment numbers would certainly confirm that.
Bob Rozek: Yes, George, if you go back and you look at -- that's what we tried to highlight that in the script, November and December were just soft months for us, a little bit softer than we expected but January and February have popped back up pretty strongly.
George Tong: And looking at the LTC segment, do you see additional room for hiring there given where utilization rates are at currently to pursue additional growth opportunities in the sector?
Gary Burnison: Well, we think there is a ton of opportunity for hiring and so the issue is finding that talent and some of that you can hire piecemeal and other parts of it, you have to go out and look at making investments into organizations where you get intellectual property and people at the same time and we're looking at both.
Bob Rozek: An example of that, George, would be the Pivot Leadership acquisition we did there in the quarter.
George Tong: And then, last question for me. You are continuing to see very strong double-digit growth in Futurestep. Can you discuss the sustainability of double-digit growth and what factors potentially drive upside or downside to your growth expectations?
Gary Burnison: Well look, you've got positive GDP growth which generally means you got positive employment numbers. And today, you've got a real orientation toward skills-based labor and that certainly has had a positive, positive impact on our business in that segment of the market. And our expectation would be that that would continue. We guide out no further than quarterly but certainly looking out in the short term, there is nothing that would suggest there is structural changes to what we've seen over the last several quarters.
Operator: Next question comes from Tim McHugh with William Blair & Company.
Tim McHugh: Just following up on that prior one, can you tell us what year-over-year January and February trends were? Taking out the seasonality?
Gregg Kvochak: Year-over-year, January and February compared -- you're talking new orders?
Tim McHugh: Yes. The new order comment.
Gregg Kvochak: Yes. So our new orders year-over-year -- give me a second here. That would be – go on to the next question and I'll…
Tim McHugh: Okay. And can you also quantify, I guess, and talk about the sustainability of the product sales that impacted the leadership margin, I guess, how much were they up? And is that a sustainable trend that enhances kind of how we should think about margins over the next couple of quarters for that business?
Bob Rozek: Yes. I would say, Tim the products revenues were up about $1.5 million and a lot of that is if you happen to in a particular quarter sell a number of perpetual licenses, you'll see that type of a pop up. I wouldn't peg L&TC at an 18% margin especially over the near-term as we continue -- as Gary just indicated higher into that business we're going to maybe probably see a little bit of downward pressure on the margin if anything.
Gregg Kvochak: And Tim in pure Executive Search, if you compare January and February of this year versus January and February of last year, you’re about flat.
Tim McHugh: Okay. And I mean, I guess, just to follow up on that then, to the extent, what you attribute being flat to I guess at this point? I mean you said basically year-over-year you’re kind of flat in the new business last quarter. What's flattening out I guess in the Executive Search business?
Gregg Kvochak: Tim, that would actually also be at actual rates too.
Tim McHugh: Okay. So constant currency is better than that?
Bob Rozek: Yes, absolutely.
Tim McHugh: Okay. And is that true of the comment you made about the new business for Q3 as well?
Bob Rozek: Yes. That would be true. 
Gregg Kvochak: Flat at actual rates but up on a constant currency basis.
Tim McHugh: Okay. And then, I guess last one, I didn't see a cash flow statement, so I guess buyback -- did you execute anything this quarter? And I guess what's the thought on that?
Bob Rozek: Yes. We have not executed any buyback on this quarter. As we’ve talked about our deployment of capital, our first priority is to put the capital back into the business and we closed the Pivot acquisition and have another handful of interesting opportunities that we're currently pursuing and so we'll -- as we always talk about we're going to take a balanced approach to capital on the use of buybacks will come into play when the other M&A and internal uses, we don’t see anything that's real interesting there, Tim.
Operator: Our next question will come from Tobey Sommer. Please go ahead.
Unidentified Analyst: This is Frank it for Toby. I wanted to see if I can get a little additional color on what's going on in the financial services vertical in terms of Executive Search, any additional color you can give for what you’re seeing there would be great.
Gary Burnison: No. It's much of the same, it's very, very challenged obviously. Some of the big global institutions are certainly questioning what parts of the business to keep versus the vast -- it's re-regulated. There has not been much change in that environment, still seeing good activity and asset management insurance. But the big -- the investment banking capital markets -- nothing has really changed their.
Unidentified Analyst: And can you remind us a little bit of the seasonality of LTC moving into the next quarter and how you see that throughout the year does anything change on that side?
Bob Rozek: No, I think if you go back and look at LTC, Q1 and Q3, our fiscal Q1 and Q3 are the lower performing quarters and then Q2 and Q4 are the better performing quarters.
Unidentified Analyst: And in your prepared comments, you said that you were a little bit surprised that your energy had held up pretty well. Are you seeing any weakness in January or February? Or kind of what's your outlook for the energy vertical going forth?
Gary Burnison: I still believe that we're going to have some softness there. It did not hit the numbers through the third quarter, but I would be a little bit surprised if we don't have some impact there. But listen, that’s very, very difficult to tell given the volatility there.
Unidentified Analyst: Okay. And last one for me, investments in IP going forward, any significant changes their?
Gary Burnison: Same game plan, every quarter here we have been investing through the income statement in intellectual property. And we're going to continue that primarily around an area of assessment. We've got a kind of world-class assessment engine that we're unveiling right now that will be a separate business for us but it'll also be part of our search [indiscernible] and how we assess candidates. We will continue to invest in talent analytics as well as concepts around culture, learning agility, enterprise agility.
Operator: Next question is from Kevin McVeigh. Please go ahead.
Kevin McVeigh: Gary, just a follow up on the oil and gas, is there any impact in the Q4 guide from that or would you think it's past Q4 that you may see some potential softness their?
Gary Burnison: Well listen, overall energy is 7% of the firm in total. And when you actually look at that, Search is probably a little bit less than half of that, these are right off the top of my head numbers. So we haven't seen any slippage in the leadership work that we do. We do a lot of leadership work with big, big companies, big oil companies. We haven't seen anything -- any slippage in that. So it's not like it's material to us. So it wouldn't be a big number impact. But yes, we have assumed that there would be some negative impact in our fourth quarter.
Kevin McVeigh: Okay. And that maybe just, Gregg, you made a comment about contract labor helping you on the expense side. Is that something new? Or something maybe you are using more now and how should we think about that going forward and just is that more on the search side or is that on the LTC side as well?
Bob Rozek: Yes. This is Bob. That's really on the LTC side. We use actually the inverse of the way you are thinking about it, we use last contract labor over that -- within the third quarter and when we use our own folks we end up having more profitability on each engagement, contract labor's a little bit more expensive than our own internal folks and then over the holidays and so on in the midst of the work that we have are able to better utilize our own internal folks and if you go back, you look at the utilization in the quarter year-over-year it was up about 400 basis points and that was really us using our own folks more significantly on the engagements that we delivered.
Kevin McVeigh: And then just, from a candidate perspective, is it getting easier to source candidates? As there is just more confidence in the economy i.e., maybe in the past there have been a hesitancy to move given the macro uncertainty or how is it sourcing candidates just to very high level?
Gary Burnison: You know still very difficult. There is still reluctance on the part of candidates and the other macro trend we're seeing is people are working much longer. And on the other side of that, it's substantially harder for a younger person to get a job and then you've got this movement towards a more skills-based economy and I think that's one of the reasons why the Futurestep is doing so well.
Operator: Our next question is from Mark Marcon.
Mark Marcon: With regards to North American Executive Search, a couple of questions there. First of all, can you just specific to North America, can you talk about how the practices did during this quarter? And then, a little bit more color with regards to the January, February commentary since that obviously -- it would all be -- or almost all in dollars?
Gary Burnison: Okay. Well, listen, February was very solid. You have the -- you want to give the dollars, Gregg?
Gregg Kvochak: Yes.
Gary Burnison: And, I'll come back to trends but go ahead.
Gregg Kvochak: Go ahead and do the market and then --
Gary Burnison: When you look at the market, very strong in life sciences and health care. Technology -- the old tech firms not a lot of activity, certainly more from the quote, new tech firms. Consumer goes in and out from quarter to quarter. So, it's kind of hard to judge that one. Financial Services showed strength sequentially, but I think it's just the fact of the previous comparable. Industrial held up pretty good and like I said earlier, didn't see the falloff in energy that maybe I would have thought last call, Mark.
Gregg Kvochak: Okay, so Mark, our new order trends year-over-year. So, January and February this year compared to January and February of last year were up about 2%. The pattern is a little bit different. We peaked in January last year and then dropped a little in February. This year, February was better than January.
Mark Marcon: Okay. So, February was better than January and January was better than November or December, even when we--
Gary Burnison: Yes. That's correct.
Mark Marcon: Holiday weeks. Okay.
Gary Burnison: Yes. Mark, you go back to November-December, we lost quite a bit of time. It seemed like clients and everybody in December took like two weeks off and even in November that seemed like a pretty short month, too.
Mark Marcon: And so, based on how things are trending within North American Executive Search, it sounds like you would expect to be up more than the 1% growth that you saw this year on a year-over-year basis?
Gary Burnison: Well we certainly expect to be -- we expect to be up in the fourth quarter from where we're in the third quarter for sure.
Mark Marcon: I meant on a year-over-year basis. So, last year you did the $80.2 million in North America.
Bob Rozek: Mark, we would expect to be up year-over-year, Mark, more than the 1%.
Mark Marcon: Okay. So then, we're going to see that rebound flow through. And then with regards to EMEA, on a local currency basis, a good performance. Can you break that down by geography? Or what you're seeing?
Gary Burnison: Contrary to the macroeconomic picture, we've got a fantastic team and a fantastic offering. I would say that we saw really good results this quarter in France and Switzerland that kind of stuck out. I wouldn't say that it was -- I wouldn't point to any single factor. But, those were certainly standouts. We didn't see any kind of systemic weakness in our European business during the quarter which is very encouraging, giving what you read.
Mark Marcon: And then, just coming back to North America, the margins were very strong and if we take a look at year-to-date, it has been really good. Has there been any -- is it because you've been growing some of your own and bringing them to the floor? Or how should we think about the potential for that to be sustained?
Bob Rozek: Yes. I think, Mark, the margins in the third quarter were a little bit higher than what I would expect to see going forward. With the revenue slowing down, we made the adjustments to the variable compensation. There were also positive adjustments for comp obligations as the overall market came down through the end of the third quarter. So, our liability in our deferred comp program comes down and we get some positive effect from that. I would say, looking at North American margins, it has been that 25% range -- EBITDA margins in a 25% range, plus or minus.
Mark Marcon: And then with regards to Futurestep, continue to see strong growth there. What sort of projects are you getting now? How much more tilted is it to RPO versus the smaller onesies-twosies?
Bob Rozek: Yes. I would say right now we're probably 60/40, 60% of Futurestep's business is RPO, 40% is single search. And, quite honestly, Mark, both of them are growing and contributing to the substantial growth that you're seeing in an equal amount so I don't expect that to shift much going forward. We're still looking at -- [indiscernible] again trying to do -- to continue to do a nice job on layering in longer term, larger sized contracts and we're seeing that play out in terms of the -- I'll use this term maybe a little bit inappropriately with the backlog or the work that we're carrying forward.
Mark Marcon: And then, lastly, can you give us a little more color with regards to Pivot? How it enhances the overall offerings and how it is going to fit in?
Gary Burnison: Well, in the leadership and the LTC market which, depending on how you count it, is probably, as we see it, $10 billion to $20 billion market opportunity, we're very long in assessment. We've got many different kinds of instruments there. But, where there is real opportunity for us is on the development side and so Pivot helps us to add depth and scale and quality and great people on the development side of our leadership business.
Bob Rozek: The only thing I would add too -- for me, it's kind of a double win because, as we've talked about having challenges, finding the right individuals who have deep subject matter expertise as well as a real commercial side to them. And, when you look at the theaters that come with Pivot, we've got a group of really good consultants coming into the organization that possess both sides of the equation.
Operator: It appears there are no further questions, Mr. Burnison.
Gary Burnison: Okay. Thanks, everybody. I've got to tell you -- really good quarter. I'm proud of our organization. We've got an enormous opportunity to create the brand that's synonymous with all things talent. And thank you for your time today and we look forward to talking to you next time. See you later.